Tetsuji Yamanishi : Thank you very much for attending despite busy schedule TDK's performance briefing of the third quarter of fiscal year 2021. So from my side, I would like to talk about the consolidated results for the third quarter. First of all, this is the key points of our performance. The third wave of COVID-19 has been hitting countries around the world, and the impact continues on society. Against this backdrop in areas, the social and economic and production activities has already recovered. The recovery trend of electronics demand has become clearer from the second quarter and going in into the third quarter. In the ICT market, DX-related demand, such as the mobile devices continue to be robust. So in the automotive market as electrification accelerated in xEV and ADAS. And expansion in overall demand has been seen and industrial equipment market grew as demand for renewable energy is increasing. And the recovery of demand in energy transformation EX has become clear. Under this environment, for demand, sales increased 11.3% against the previous year. And operating income went up by 11.6% against the previous year. This is a record high level for a quarter, both for sales and operating income. So orders for the auto market recovered sharply from the second quarter, and this momentum continued into the third quarter. Sales of Passive Components and Sensors increased. Demand for DX-related products for the ICT market was robust, lead to an increased sales of Rechargeable Batteries and Passive Components, contributing largely to the overall earnings. Recent orders for DX, EX-related products continue to be steady. So based on the favorable results up to the third quarter, we have decided to make an upward revision of the full year outlook against this is this -- second -- again, against the previous quarter. We should not relax because demand has recovered.  At the beginning of the year, we had compiled additional earnings reproven measures such as rationalization and enhancing efficiency to be prepared against the spread of COVID. We will continue to implement these measures. At the same time, based on the demand trend of DX and EX, we'll promote asset efficiency measures, including business site restructuring, aiming to be -- to lead the acceleration of improvement of our profitability. Next, I would like to talk about the outline of the consolidated results. The yen has been stronger against the dollar. This has impacted our sales negatively by ¥7 billion. Operating income has declined by ¥4.3 billion due to this impact. Sales was -- including this, sales was ¥395.7 billion. That is ¥40.1 billion increase year-over-year, 11.3% increase of sales. Operating income was ¥45.1 billion year-over-year, plus ¥4.7 billion, 11.6% of increase. Income before income tax was ¥46.2 billion. Net income was ¥30.9 billion. EPS was ¥244.22.  In terms of forex sensitivity, it is unchanged. Operating income level, against the yen -- against the dollar with ¥1 fluctuation. This was ¥1.2 billion for the full year. The -- and euro impact will be ¥200 million for the year. Next, going to the third quarter by segment status. Peso combined sales was ¥109.5 billion. Year-over-year, this is 11.4% increase. Operating income was ¥13.4 billion, 26.4% of increase. Operating income margin was 12.2%. It has gone up. Demand for the automotive market has recovered sharply for the second quarter. In the ICT market, mainly in the 5G-related area, the demand has been very robust. And industrial equipment market demand, because the demand for the [indiscernible] has increased, in all the businesses we saw increased sales and profit. For the Ceramic Capacitors, sales of 5G base stations has declined. But on the other hand, sales in automotive market and the distributors has increased. For Aluminum Electrolytic Capacitors and Film Capacitors, on top of the automotive market for the industrial equipment, the renewable energy sales has increased. For Inductive Device, the demand for the automotive market has increased. On top of that, the ICT market sales has increased due to the start-up of the new smartphone products. In high-frequency devices, the 5G-related demand was strong. And for the Piezoelectric Material Products and Circuit Production Components, sales is increasing in auto, ICT and industrial equipment overall. Going to the Sensor Application business. Sales was ¥23 billion. Against the previous year, it has been increased to 13.3%. Operating loss has improved from the previous year. As for the Passive Components segment, because the demand in the automotive market has recovered and sales increased further substantially in the ICT market, mainly for smartphones, so all the 3 businesses have seen the increase of sales and profit. Sales of Temperature and Pressure Sensors increased towards the auto and home appliances, recovering to a level so that it can contribute to our earnings. As for Hall Sensors, the supply chain for the automotive market is long, there was a delay in order recovery. However, sales started to recover at last. Furthermore, the TMR Sensors with the Magnetic Sensors, the sales increased sharply as the peak for new smartphones has arrived, sales and operating profit has increased sharply. For MEMS Sensor. Cash expansion of the customer base for the Motion Sensors has increased. So sales for the ICT market has increased. At the same time, expense rationalize through the review of the [indiscernible] to a decline in loss from the previous year. Next, going to the Magnetic Application business. Sales was ¥55.9 billion. Year-over-year, this was a decline of 3.5%. Operating income was ¥4.2 billion, a decline of 19.2% year-over-year. For HDD Heads, due to the demand increase of PCs, the HDD assembly sales increased. However, on the other hand, the total demand of HDD has gone down. And the shipment volume of HDD Heads has declined in line with this. So overall, we saw a decline in sales and profit for the head business. On the other hand, for the HDD suspensions, the NL HDD for the data centers for the major clients has been robust. For the Nearline HDDs, the shipment volume has increased. The suspension business were also increase in sales and profit. For magnets, the demand recovery for the automotive market and the sales towards industrial equipment, such as renewable energy has increased. So we saw an increase in sales and the loss has improved against the previous year. Going to the Energy Application Products. Sales was ¥195.4 billion, operating income was ¥42.8 billion. Year-over-year, we saw a sales increase of 21.2%. Profit increased by 5.7%. Sales and profit increased for the Rechargeable Batteries, due to the increase of smartphone units. And the smartphone sales has increased slightly against the previous year. For PCs and tablets, continued at a high level. So mini cells for small-sized products such as wireless earphones, has been robust. Sales of power cell products for the home energy storage systems and electric motorcycles has continued to grow from the first quarter and continued into this quarter. In the Power Supply business, demand recovered in the industrial equipment business, such as in semiconductor products and equipment and has seen an increase in both sales and profit. Next, let me talk about the quarterly results of sales and operating income by segment from Q2 to Q3, quarter-on-quarter basis. I start with the Passive Components segments, the sales was up by ¥10.1 billion or 10.2% from Q2. Operating income was up by ¥13.4 billion or 38.1%. The sales of -- first of all, the automotive market as well as the industrial equipment markets increased. And also in ICT markets, due to the peak season of the smartphone market, it's also increased. But on the other hand, that the sales to the 5G base station have declined and have been almost flat from Q2. As a result, high-frequency component products was almost a flood, but on the other hand, in other business areas for that -- which have more business on the automotive markets or industrial equipment markets have recognized the increase in both sales and income. Next, let me talk about Sensor Application Products. Sales was up by ¥3.2 billion or 16.2%, and operating loss reduced by ¥1 billion. With the recovery of the demand in automotive markets, Temperature and Pressure Sensor as well as Hall Sensor increased sales and also TMR Sensor have substantially increased sales. And due to the peak season of smartphone, and as for the MEMS Sensor, it also have been favorable for the smartphone in China or the drone applications, and we have recognized all -- an increase in the sales in all of the -- in these areas. As for the operating income in Temperature and Pressure Sensor and Magnet Sensor can be profitable. And MEMS Sensor can improve its income and also with the -- our efforts to making that now development efficient, and we could reduce that margin of loss from Q2. Next, let me talk about Magnetic Application Products segment. Sales was up by ¥5.5 billion or 10.9%. Operating income and income -- is up by ¥2.8 billion. When it comes to sales, from -- the HDD Head sales volumes have declined by 2% from Q2, but still, we have -- that's increased average selling price or that's with the boosted demand for the PC and 3.5-inch HDD assembly sales have increased. And now as HDD Head business as a whole, we have increase in the sales and also the HDD suspensions was favorable. And the sales to the Nearline HDD for data center substantially, and also the application product for the smartphone also made the contributions to push up the sales further. Also for the magnets and for the automotive or industrial equipment, market have recovered this demand so that it contributes to the further increase of the sales. When it comes to operating income, head DD -- HDD Head suspensions have recognized increase in sales. And for the magnets, it could reduce that -- the margin of loss due to that increase the sales. Now just for information, and we recognized the gains on the sales of the health care precision process components business. It was a noncore business for us. So we recognized the gain of this business sales in Q3. Next, let me talk about Energy Application Products segment. Sales was ¥195.4 billion. That means that 2.6% and -- decrease in -- increase in Q-on-Q basis. Operating income was ¥42.8 billion, 11.4% decrease from the previous quarter. And for the secondary batteries and the -- our business and part of our business for the smartphone is -- have carried forward from Q3 to Q4 due to that inventory adjustment by our customer. So that's why -- and the sales was -- and substantially lower than we expected, so that -- and the sales have dropped from Q2. And also for the Power Supplies -- for the power supply for industrial use will slightly decrease. When it comes to operating income and the power supply for industrial use and -- reduces revenues, but it will secure that to profit. And for the secondary batteries, it have recognized a decrease in both in the sales and that's -- and also for that profit [indiscernible] we have needed to enhance that in our [indiscernible] developments [indiscernible] kind of applications. That's why that further pushed down the profit. Next, let me talk about a breakdown of the operating income of ¥4.7 billion. Secondary batteries or the Passive Components business pushed up in sales. So that have made a positive impact of ¥18.5 billion due to this sales. But on the other hand, sales price reductions have negative impact of ¥7.3 billion. But on the other hand, now the cost reduction by rationalizations have a positive effect of ¥5 billion as well as another ¥500 million also for the benefit from the restructuring from that -- and for the loss in last year, and that will offset this negative impact of the sales price reductions. And InvenSense, M&A-related expenses reduced by ¥400 million. And also when it comes to SG&A and for the expansion of the business of secondary batteries, and we need to spend for the power sale developments and the other businesses and the end of the field to fee that all amounts to that ¥8.1 billion of increase of SG&A, that will be a negative impact. So including that ¥4.3 billion of negative impact of foreign exchange fluctuation, and all in all, but we have ¥4.7 billion of increase in operating income. Next, let me talk about that the overview of the consolidated business results up to that Q3. Sales is ¥1,086.8 billion, 2.3% and increased year-on-year. Operating income is ¥107.5 billion and ¥1.7 billion less than last year and 1.6%. And income before tax was ¥109.4 billion, net income is ¥73.1 billion to minus 1.7% year-on-year. Now when it comes to the sales, now we have that record high sales of the cumulative for the 9 months of the fiscal year. First of all, let me talk about that full year consolidated business forecast. Based on our business performance and to that Q3 and also as well as taking into consideration the orders in Q4, we revised our forecast from the one we announced last time in October. And full year sales is ¥1.45 trillion, and the income before the tax is ¥116 billion. This is that the upward revisions and also ¥110 billion of operating income and ¥76 billion of net income, it stayed the same from the previous forecast. When it comes to sales, we take into considerations that the demand in the automotive and industrial equipment markets, and based on the assumption, that the momentum will continue in Q4. So that's why we broadly revised the forecast of the sales. And when it comes to the income before tax, we include the increase of nonoperating profits. The reason why we state that operating income stayed the same from the previous forecast is that now under the COVID-19 pandemic, now all the structure on the demand of the DX and EX have substantially changed. And based on these changes, and also, in order to enhance the competitiveness, we need to promote that structure reforms including optimization of assets, the enhancement of competitiveness. So that's why. And now we think that we need to spend this ¥12 billion for the onetime cost for this restructuring. When it comes to that year-end dividends, the CapEx, depreciation as well as R&D, and there is not any change from that previous forecast. That's all my presentation. Thank you very much. Thank you.
End of Q&A: